Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Duke Realty Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct the question-and-answer session. Instructions will be given at that time. As a reminder, this conference is being recorded. I would now like to turn the conference over to our host Mr. Ron Hubbard. Please go ahead.
Ron Hubbard: Thank you, Ronda. Good afternoon, everyone and welcome to our second quarter earnings call. Joining me today are Jim Connor, President & CEO and Mark Denien, Chief Financial Officer. Before we make our prepared remarks, let me remind you that statements we make today are subject to certain risks and uncertainties that could cause actual results to differ materially from expectations. For more information about those risk factors, we would refer you to our December 31, 2015 10-K that we have on file with the SEC. Now for our prepared statement, I’ll turn it over to Jim Connor.
Jim Connor: Thanks, Ron good afternoon everyone. I'll start out with an update on the overall business environment and our second quarter results. Naturally, the industrial markets’ momentum continues to be very strong. Demand outpaced supply for the 25th straight quarter, new supply in substantially all markets is balance and demand for modern bulk space year-to-date continues to beat expectations. Net absorption for the second quarter was 64 million square feet and year-to-date absorption is 124 million square feet. New supply in the second quarter totaled 35 million square feet, resulting in another 10 basis point drop in vacancy nationwide to approximately 5.2%. Our outlook is for these fundamentals to continue to be favorable for the remainder of 2016. We're seeing similar strength in our own portfolio with the completion of 6.9 million square feet of leasing for the quarter this drove our in-service occupancy up to 96.7%, 100 basis point increase from the first quarter and the highest in the Company’s history. Rents on renewal leases for the quarter, grew by 18.6% also the highest on record for the overall portfolio, reflecting continued strong supply demand fundamentals and our solid pricing power. Of particular note was our continued success in leasing recently completed speculative projects and a leasing of second generation space with new tenants within our portfolio. One notable new lease was signed with Amazon for 1.1 million square feet, in our speculative project in Pennsylvania that was delivered in the first quarter of the year. Also we signed two new leases in the Indianapolis with R.R. Donnelley and Stryker, totaling over 1.3 million square feet. On the lease renewal side, we executed two leases with the container store in Dallas in our Freeport Park near DWF Airport, comprised with a 956,000 square foot lease renewal of existing space and 146,000 square feet of expansion space. In addition we executed two significant renewal leases with Hewlett Packard in Indianapolis and Genco Distribution in Columbus, each over 400,000 square feet. I will also note that while our renewal percentage for the quarter was 63%, it was impacted by 4 large expirations that were immediately back filled with new leases at much better rates. The largest drivers of leasing in our portfolio continue to be e-commerce, retail and consumer products distribution, both directly with our corporate clients and indirectly with 3PL clients as well as positive drivers from the food and beverage industry. In addition we’re seeing most of these customers continuing to allocate additional capital to their supply chain and inventory optimization. Our medical office portfolio continues to have good momentum with in-service occupancy increasing 20 basis points to 95.8% another all time record. And we continue to have a strong development pipeline for future development to go along with our existing pipeline. Turning to overall development for the quarter, we started $108 million of industrial projects, given our strong leasing performance we’re allocating more capital to speculative projects in our strategy to grow in Tier 1 markets. Three of these four developments starts are speculative and located in Southern California and Pennsylvania markets, all the while maintaining our pre-lease percentage and our overall development pipeline of over 70%. Our overall development pipeline at the end of the quarter had 18 projects under construction, totaling 6 million square feet and a projected $504 million in stabilized cost at our share that was 72% preleased. We expect these projects to create 20% margins and generate about a 6.6% initial stabilized cash yield. Our development outlook is very solid with a pipeline of prospects, many of which are build-to-suits that will continue strong value creation for the balance of the year. Our land inventory now sits at 344 million, as a result of monetizing about $40 million of land during in the quarter through sales and development. This is our lowest inventory level since 2003 and below our 2004 stated goal to maintain the land bank between $350 million and $400 million. With respect to capital recycling activity, we closed $173 million of building dispositions during the quarter in six transactions. This includes 55 million related to the Gramercy Property Trust joint venture dissolution that Mark will extend on in a moment. Similar to what we stated in the last call, the majority of our expected dispositions for the full year are scheduled to close in the third and fourth quarters and are proceeding as planned. But we also mentioned that we are under contract to sell our 936,000 square foot vacant speculative industrial building in the Indianapolis. This is a user sale and along with a significant leasing we completed during the quarter, raises our Indianapolis in-service occupancy to 99.8%. I’d now like to turn it over to Mark to discuss the financial results and the capital transactions.
Mark Denien: Thank you, Jim. Good afternoon everyone. Core FFO per share was $0.30 for the second quarter of 2016 compared to $0.28 per share for both the first quarter of 2016 and the second quarter of 2015. This $0.02 increase is reflective of our continued improvements in our overall operating performance. NAREIT defined FFO was $0.35 per share, the largest reconciling item between Core FFO and NAREIT defined FFO was $24 million for both income recognized related to the dissolution of Gramercy joint venture that I will expand on in a minute. The promote income is excluded in FFO as defined by NAREIT but not Core FFO. We generated $0.27 per share in AFFO for the second quarter of 2016, which equates to an AFFO payout ratio of 67% compared to $0.26 per share in the first quarter of 2016 and $0.25 per share in the second quarter of 2015. Same property NOI growth for the 12 and three months ended June 30, 2016 was 4.5% and 3.5% respectively. Let me point out that the second quarter’s three month figure is negatively impacted by a few individually small non-recurring expense items. These items will have virtually no impact on our full year results as we look out to the remainder of the year. While occupancy growth should slow a little bit in the latter half of the year, we still expect strong rent growth which led to our increase in same-property NOI growth guidance of 1.375% at the mid-point. As I mentioned earlier we dissolved our joint venture of Gramercy Property Trust in which we had a 20% interest. This dissolution transaction consisted of seven of the joint ventures buildings being distributed to Gramercy, one industrial property being distributed to us, and the final property being sold to a third-party late last week. Two of the properties distributed to Gramercy were suburban office buildings. Our $173 million of property dispositions for the quarter includes $55 million for our 20% ownership interest in the seven joint venture buildings that were distributed to Gramercy and our $67 million of acquisitions for the quarter includes $51 million for Gramercy to 80% interest in the industrial property that was distributed to us. Also as I mentioned earlier the dissolution of this JV resulted in a $24 million promote fee being recognized in the second quarter. From a capital raising perspective, I’d like to note that during the second quarter we received full repayment of the $200 million seller financing, that we had extended as part of the $1.1 billion office disposition that we executed in April 2015. We executed some significant debt transactions during the quarter as well. We used the proceeds that have been received from the seller financing I just mentioned and property shelves to payoff secured loans totaling $330 million to bore interest at an average effective rate of 5.8%. In June, we issued $375 million of 10 year 3.25% unsecured notes, which represent the lowest rate on a 10 year issuance in company history. In connection with this issuance, we initiated a tender offer that resulted in the repurchases $72 million of our 5.95% unsecured notes that were due in February of 2017. And we repaid the remaining $203 million of these notes earlier this week. These transactions significantly lower our overall borrowing costs. In the equity capital markets, we issued 4.6 million shares under our ATM program through July 08, 2016 for net proceeds of $111 million at an average issue price of $24.19 per share. With our growing list of development prospects and due to the fact that our shares did not traded at full interest of our net asset value in quite a while. We thought it was prudent to take some risk off the table and pre-fund some of this highly accretive development. We have only $14 million left in our current ATM filing plan to re-up the program to be prepared for future strategic and freedom opportunities. We concluded the quarter with $141 million of cash and lower outstanding borrowings on our line of credit. These capital sources along with the third quarter property sales are more than sufficient for the repayment we just made of the remaining February 2017 notes and the funding of our development pipeline for this foreseeable future. I would also point out that we have only $69 million of debt maturities until our next bond maturity in early 2018. All of these capital transactions coupled with our operational performance resulted in a significant improvement to our key financial metrics and we expect to see further improvements for the remainder of the year, resulting from the transactions and new income producing properties being in placed in-service. This is reflected in our revised guidance. And with that, I’ll turn it back over to Jim.
Jim Connor: Thanks Mark. In reflection of our strong performance for the first half of the year, and positive outlook for the second half of 2016, we increased our AFFO per share guidance by $0.01 at the mid-point. Given the strong outlook on our development pipeline, we also raised our development guidance to $500 million to $650 million up $75 million from the original mid-point. Also due to continued strong overall operating fundamentals, we raised our same-property NOI growth guidance to 4.25% to 5.5%, up 1.375% from the previous mid-point. Finally, given our capital recycling activities and our recent debt pay downs as Mark touched on, we’ve changed the guidance for all three of our leveraged metrics in a positive direction. Details are provided in the supplemental package in the last night’s press release. We believe these improved leverage metrics put us firmly in a position for a ratings upgrade in the near future. Revisions to certain other guidance factors can also be found in the Investor Relations section on our Web site. In closing, we’re very pleased with our team’s execution through the mid-year and our leasing performance, capital redeployment and balance sheet management. We are very optimistic about a strong performance for the remainder of the year. We’ll now open up the lines for the audience. And we ask participants to keep the dialog to one question or perhaps two very short questions and you of course are welcomed to get back in the queue. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Blaine Heck. Please go ahead.
Blaine Heck: Great, thanks. Mark, as you mentioned, you guys were active on the ATM during the quarter with $111 million of issuance on what seemed to be pretty good pricing. But your stock is up almost $4 a share from the average price of this quarter's issuance. So can you just talk about your appetite for further ATM issuance when you re-up the program?
Mark Denien: Yes Blaine well if you look at the guidance that we changed for development and acquisitions, if you combine those we raised our total investment outlay by about $175 million. So we kind of looked at that incremental $175 million of investments and where our stock was trading at it was a good way to prefund that. So, we're really taking care of both from a balance sheet perspective and really everything we have baked in our guidance through the rest of the year. I mean certainly we like our stock price better where it is today and we did the deal. So I think we would look at any additional equity going forward as it would have to be to fund incremental investment opportunities above and beyond what's already in our guidance.
Blaine Heck: Okay and that's helpful. And then just a follow-up: the increase in same-store NOI guidance is pretty substantial, over 1% higher at the midpoint. So can you give us some color on what you're seeing at this point? It's much better than what you had expected in the beginning of the year, whether it's on the rent side, occupancy side, or even expense savings. And was it driven by better execution in the first half of the year or kind of better expectations for the second half?
Mark Denien: Quite honestly Blaine it's a little bit of everything you just mentioned, I mean our occupancy is better than what we had expected and that is reflective in the increase in our guidance. Some of that occupancy hasn't made its way in the rent yet and most of our actions stay on lease sign basis. So as those leases come online we do expect rental increases, some of the leasing we did early in the year or even late last year may have had just some minimal free ground or reduced rent in there that's burning off so you we have, rental rate increases, you've got occupancy increases and then rental rate growth is better than what we expected at the beginning here as well. We reported almost 19% increase in rents this year on a GAAP basis and as we look forward about 25% of all of our leases rolling in the next 18 months were signed in that trough period. So, we do believe we can continue to grow those in the 20% range and you couple those with some newer deals and we still think rent growth is going to look very similar going forward. So, I think it's just a little bit of everything that you mentioned that is driving that.
Blaine Heck: Okay. Sounds great, thanks guys.
Operator: Brad Burke. Please go ahead.
Brad Burke: Hi good afternoon guys. I just wanted to get your updated thoughts on the suburban asset sales that you have planned for the balance of the year: one, whether the pricing and the interest that you're seeing in the market now is in line with what you had expected when you had initially given the guidance for the full year? And then, two, the guidance that you have for the remainder of the year -- the implied proceeds, is that entirely suburban ops at this point or would we expect there to be some industrial sales included in that total as well?
Mark Denien: Well, Brad I would say that everything is on track, a couple of kind of general comments. I think that buyer pools in general, while they are still deep enough for us to get deals done are a little shallower than they had historically been, but we’re making progress and we’re kind of on track with everything we have got planned for the remaining office dispositions for the rest of the year, so we didn’t feel it was warranted to change any of our guidance there. It’s not a 100% office as we talk about we sold some buildings in Phoenix this year we sold a couple of buildings in California. And I think through our year-end numbers were projecting about 70%-75% of it could be office and about 25% to 30% of it could be industrial and a couple of one off we do -- we sold the last of our retail things and a few other clean up items. So I would say 70%-75% of it is office.
Brad Burke: And just related to that, on my math it's almost $500 million of guidance at the midpoint for the back two quarters of the year for dispositions. So 75% of that -- is it right to think that $350 million to $400 million would be suburban office proceeds? And would that represent the bulk of your suburban office portfolio?
Jim Connor: My CFO is sitting next to me shaking his head, so he confirms your math.
Brad Burke: He is shaking, yes, okay good.
Jim Connor: Up and down.
Brad Burke: Good. All right. That's it for me, thank you.
Operator: John Guinee. Please go ahead.
John Guinee: You guys are really rocking and rolling, how the hell did you ever get down to $300 million of land?
Jim Connor: Well thank you John, I will take that as a compliment. As we have talked about this at the last meeting, we have really changed the culture of Duke Reality. Many of you who have followed us over the years, we used to love to buy 500 acre farms and turn them into business parks and it’s really tough to economically carry land for extended periods for time like that, so we have a much shorter time horizon on vacant land that we want to carry, we prefer to take it down and bite those pieces and put it into production as quickly as possible. So as tough as has been for us to get here, it’s really been a welcome change, because the guys that need land can buy land and can put it into production right away. So I appreciate the compliment, it has been a long road getting here from the roughly $980 million we had back in 2008, but we think, we’re in a sweet spot and we think we could stay here for the foreseeable future.
John Guinee: All right okay, now.
Jim Connor: Now the real question?
John Guinee: Yes, one more question. Looking at page 28, looks like you have got a big build-to-suit in Southern California and then a couple 600,000 square feet of spec product. And that's almost half of your stabilized costs of bulk distribution, but you've got -- your yields on these, on the whole page at about 6.3% on a cash basis, what do you -- can you talk a little bit more about where in Southern California these deals are located, and what sort of yield on costs you're expecting in So Cal?
Jim Connor: Yes sure John, the -- most of our development in Southern California right now is in the Inland Empire that large build-to-suit that you referred to is out there and several of the other buildings, although we’re doing one into a redevelopment project, closer in, in Orange County, while those cash yields are down from what you have had historically seen from Duke Realty's portfolio in our either more mature or our mid-western markets. They are still -- it is a great spread over what the exit cap would be as you know pricing in Southern California has reached just virtually record levels, every deal we are seeing today is trading now in the 4s, and some of the exception of properties that are trading in the high 3s from a rate perspective. So even in a 63 we are still creating a tremendous amount of value for our shareholders there, if we would look to monetize that which we are not, we want to hold and grow that portfolio out there.
John Guinee: Are any of these the Chevron site? Did you win that site? I think it was Chevron. I know it was an oil…
Jim Connor: [Multiple Speakers] none of those has a Chevron site, we do have that under contract and if everything holds that’s probably a very late fourth quarter or first quarter start next year.
John Guinee: Okay, keep up the good work. Thanks.
Operator: Manny Korchman. Please go ahead.
Manny Korchman: Maybe if we just think back to combining your, the desire to do equity or the ATM with the -- through the portfolios that are out on the market, especially when your stock's trading at a premium to NAV, do you look at those portfolios now in a different way than you would have before the recent run in your stock price? Maybe how do you balance between the ATM and the larger equity offering?
Jim Connor: Well, I think we'll both chime in on this. We look at every major portfolio that’s out there, and most of the smaller ones and one off deals, it is nothing else just to be apprised of what's going in the market, what investor activity is and what pricing expectations are. So we are abreast of everything that’s going on and we have yet to see an opportunity that we think is available at a price that we could demonstrate value creation. And really fits in our targeted growth portfolio. And for us that’s the West Coast and predominantly the North-East, maybe South Florida. We have got really dominant portfolios in most of the other cities, so if we were on a stretch today, we would be in probably one of those three geographic areas. And we have them tune the right opportunity. So Mark I will let you add a little additional color.
Mark Denien: Yes, I think as Jim said right on, I think you still first Manny look at the quality of the property and where the property is located and is it a property we want to own, regardless of what our capital cost is. Just because we are trading at a nicer stock price today than we were six months ago, doesn’t make us want to go out and over pay for properties. So I think the quality of the property and where it is still number one and if we are trading at a nice size premium it may help us justify stretching a little bit it still got to be property that we want.
Manny Korchman: So if we combine all of those thoughts together, what's the likelihood that you actually act on picking up a larger portfolio in the next, call it, six to 12 months? Are you seeing anything you like, especially now that you can pay for it? I'll ask it differently.
Mark Denien: No, I don’t think we see anything out there right now that we like well enough to do that. And as far as large portfolios, I am not saying that there won't be a one off transaction here or there but no large portfolios out there right now that we see.
Manny Korchman: That was it for me. Thank you.
Operator: Dave Rodgers. Please go ahead.
Dave Rodgers: Jim, I think in your commentary you talked about having a pretty big backlog of build-to-suit activity, but obviously the start to the quarter were all spec. So I don't know -- maybe a little color on kind of was it just a timing issue in terms of what you started and what you plan to start the rest of the year? And I guess maybe a second part of that question is, I guess, looking maybe into 2017 without giving specific guidance, does that give us a good confidence that that pipeline could be equal to or larger going into 2017 than it is today?
Jim Connor: Yes. Sure Dave. It’s always about timing and try as I may, I can’t always get my clients to sign leases by quarter end. They just don’t feel the same sense of urgency that Mark and I do. But yes, we took a very close look and we assumed several of you would ask this very same question. Because, if you look at where we are midpoint, and we’d tell you, we were pretty much in line with what we had originally projected. But we do have a very-very strong pipeline for the second half of the year, it’s very consistent with the business that we’ve been doing. A lot of our existing clients in the areas of ecommerce and consumer products some directly with them, some with 3PL providers. And we’ve got a good mix all across the country, so given that we felt very comfortable raising the guidance on the development side. So I think you can look well forward to bigger numbers in the third quarter. I will tell you looking out beyond kind of the six month horizon. We’re still very optimistic, our clients are not showing any skittishness, any pullback. Everything that’s on track to get signed, I would say in the foreseeable future, the next three or four months is going full speed ahead. And our clients are probably more engaged with us today about their future needs whether it’s in the form of build suits or taking speculative space, because the markets have gotten so tight. So you are a 800,000 foot user or a million square foot user in a major market. You don’t have nearly the number of options. So we’ve gotten engaged with much more of our clients, they’ve been much more forthcoming with what their needs and expectations are over the next 24 months. And that has left us fairly optimistic as well.
Dave Rodgers: Great, thanks.
Operator: Michael Carroll. Please go ahead.
Michael Carroll: Thanks. Kind of off of Dave's question, Jim, you seem much more comfortable starting speculative projects today compared to six months ago. Is this a function of leasing up the existing pipeline? Or are you seeing something, this activity in the market, that makes you more encouraged?
Jim Connor: Well, I think it’s a couple of those things. If we all reflect back on where we were about seven months ago going into 2016, we were all talking about markets reaching equilibrium sometime in 2017. We were anticipating that absorption was probably going to be in that closer to 180 million to 200 million square feet. And I think all of us are peers and you guys anybody that follows the sector has been very pleasantly surprised. We’re on track to be at or above absorption, the average for the last couple of years if you just look at where we are for the first couple of quarters. And then you impair with that how successful we’ve been leasing virtually all of these major spec projects that we have put. We’ve leased a bunch of them right before they’ve even come in-service, we’ve leased another few right as they have come in-service, the one that we have under contract to sell through user here in Indianapolis that was probably in-service for about six or seven months. It was probably the longest one we had on the shelf. So I think given the confidence in our operating teams, our record high occupancy. And the state of the overall demand in the marketplace, we feel more comfortable accelerating a number of those spec projects.
Mark Denien: Yes. And I would just reiterate what Jim said earlier too that this quarter being almost entirely spec, it was just more timing than anything. We’ve got some pretty good datapoints looking forward of build-to-suits in the pipeline prospect so I think just going forward it will be still in that above 50% to 60% prelease range in total, so.
Michael Carroll: Great, thank you.
Operator: [Operator Instructions] Ki Bin Kim. Please go ahead.
Ki Bin Kim: Thanks. Could you just comment on what you think lease spread could be going forward? You obviously put about 18% this quarter. If you look at the mix of what's coming due and the strength in just overall industrial market rents, do you think that is a sustainable number, or could it actually get better?
Jim Connor: Yes, I will try that Ki Bin. I think it's for the next six to nine months I think it’s pretty sustainable, I think I mentioned earlier about a fourth of our leases rolling into next 18 months for what we still consider to be those trough leases and we're going to push rents really-really hard there and they will be in the, several of those would be in the 25%-30% range. But I think overall we reported 19% this quarter I think we were more or like 14-15 the previous quarter I still think you will see us in that mid to upper-teens on average for the next three to six months.
Ki Bin Kim: Okay. And…
Mark Denien: Yes. And Ki Bin I would add to that. If you just if we all step back and we look at the macro numbers today most of the brokerage and research firms are attracting somewhere 165 million and may be 180 million square feet of supply, that's projected to come in-service over the course of the next year and we're on track to have another year of 240 million to 250 million plus square feet of absorption. So I think in the short-term if there is a higher probability that that overall vacancy goes down, before it goes up again, and I think if you see that macro trend you're going to see us continuing to have the leverage to continue to push rent.
Ki Bin Kim: And just tied to that, typically I think your expiration profile is about 10% per year. How much do you really pull forward -- so from a practical standpoint, even though you show 10%, is it really like 12%, 15%? Just curious how that looks like.
Jim Connor: Yes Ki Bin we don't like to get right up to the day the lease rolls. So, when that lease renews it's typically going to be two to six months before it comes up so you could be looking at pulling forward call it may be six months of the next year's leases so that takes you from 10% to closer to 15%.
Ki Bin Kim: Okay. And this is just a question based on your same-store revenue off those two things. But if you are rolling over, like, around 15%, and -- let's give it the benefit of the doubt that you can do 18% market rent growth, how do you get above 2.5%, 2.7% same-store revenue growth or 3% revenue growth on a go-forward basis, even though industrial fundamentals are really strong? What are we missing in that equation?
Jim Connor: Okay. I am not sure I followed that one Ki Bin. So, are you quoting a number that we reported, are you looking to…
Ki Bin Kim: No, no. I'm just saying, in theory, if you are rolling over 15% of your portfolio and market rents are up, on a GAAP basis, 18%, how do we get above 3% same-store revenue growth?
Jim Connor: Same-store NOI growth?
Ki Bin Kim: Well assuming occupancies are flat, right?
Jim Connor: Well I don't think we're assuming occupancy to be flat, we're assuming we're still going to drive occupancy. Occupancy growth will slow but we're not assuming flat occupancy. So we believe that we will still grow occupancy in that pool for properties for the next six months. You couple that with the rent bumps, which we have about 2.25% rent bump. You then add the call it 15% that you talked about rolling, that we can push rents up close to 20% and then the final factor is burn off of free or reduced rent and all that together is what gets you up to that number.
Operator: Sumit Sharma. Please go ahead.
Sumit Sharma: Hi. A question on capitalized interest, so you've increased the guidance for development starts, and that should result in higher capitalized interest, at least maybe in the second half of the year. I'm just wondering what level of capitalized interest savings or what level of overall interest savings are you contemplating from this versus, say, 2015?
Jim Connor: Really about the same run rate that we’ve had the first half of the year, even though we’re quoting a start number, we capitalize our interest based on the actual spend, so a lot of the starts that we’re quoting, the development spend won’t happen until late this year, or early next year. So we’re really looking at continuing at about the run rate that we have for the first half of the year. And then to couple that I would say also, with the fact that our overall average borrowing costs are going down, so that actually lowers the amount of interest we capitalize a little bit as well.
Operator: Eric Frankel. Please go ahead.
Eric Frankel: Thank you. Mark, can you help me out with -- do you have on hand the re-leasing starts for renewal leases if you factor in those new deals that were signed as soon as the spaces went vacant?
Jim Connor: Yes, I would tell you that Eric we have always -- are you just talking about the new second generation leases that backfilled, what that would have been?
Eric Frankel: Right, yes, yes, just because you threw in the renewal percentages [Multiple Speakers].
Jim Connor: If you just isolated those deals, it would have improved it quite a bit.
Eric Frankel: Okay.
Jim Connor: In total I would tell you that the total new second generation leasing this quarter, because it was easy, it was like an apples to apple comparison of the old tenants out with the new tenants, in the past we have never quoted that number because sometimes it all take the same space and all that. This quarter it happened to be pretty easy. I would tell you, if we would have quoted that number it would have actually been a little bit better than our renewal.
Eric Frankel: Okay.
Jim Connor: Not a lot but a little bit.
Eric Frankel: That's helpful to know. And just another question; I'll jump in the queue if there's other people, but I'm trying to understand the same-store NOI growth calculation and how development -- contributions from development influence that, just because, as you said, there's a lot of leases that are coming -- there's a lot of properties coming to the portfolio with leases that are just signed. And I'm trying to understand just how that's -- how it's influencing the same-store NOI growth statistic and whether NOI is actually understated this quarter as a result of all of that lease-up that occurred?
Jim Connor: Yes and I may have misled you there Eric, it’s not just development it’s leasing in general and an example of that will be those four big backfill deals, they are in our occupancy numbers as the leases are signed, but we’re not collecting rent yet but we’ll start to collect rent on that in the third and fourth quarter, so it’s not just development that is causing that it is just, it’s all that we say we are doing not just development. But the way -- but there may be a specific answer to your development question, the way we do same-property is we put properties in our same-property pool, after they have been in-service for 24 full months. So as you sit here today the only development projects we have in our same-property pool, would have to have been in-service on March -- I am sorry on April 01, 2014, so that you had two-full years in there. But I don’t know if that answers your question or not?
Eric Frankel: Okay. I just -- so you think that the timing issue related to some of the leases you sign during the second quarter -- that just hadn't quite flown through?
Jim Connor: I think that is right, it's more timing than anything and then as I tried to mention in my opening remarks, in the second quarter there were three or four individually small expense true up type items that hurt us this quarter. And actually if you went back to the previous year’s quarter, we had a couple of adjustments that were revenue related that helped that quarter so when you look at the 2 together it distorts this quarter's NOI growth a little bit. And FYI I think you've heard me say this a million times, I don’t like to look too much at just the quarterly number, I like the 12 month number better because it doesn’t take one little item and multiply it by four and skew your result.
Eric Frankel: Understood, okay, we'll do some work. We'll jump back in the queue. Thanks.
Operator: James Feldman. Please go ahead.
James Feldman: Thank you. With your large build-to-suit pipeline, can you talk about what's happening to the space those tenants are leaving behind? Are these new requirements and space reconfigurations, or are they already in the portfolio? It seems like everybody is looking for new buildings, but how do we think about the fallout from that?
Jim Connor: Well Jimmy, I think if you just look at our existing portfolio and the fact that we have been able to raise occupancy, net-net there is a great deal of net absorption out there. If you want us to talk specifically about those build-to-suits, some are absolutely new deals where the client has not given up any space, some of which are consolidations of multiple spaces where they are looking to gain some additional efficiencies, they are generally additional space in there because most of these clients are growing. But as we did this quarter, we have been able to backfill space at very good rental rates. So in that there is probably a little bit of both, but there is a lot of demand out there when you have got overall nationwide vacancy is 5.2% and you have got a lot of big users out there seeking new space. It's a good time for us in the industrial business.
James Feldman: Okay. And then in terms of the speculative starts in the quarter, it looks like Eastern Pennsylvania and Southern California. Are there other markets, do you think you'll spread to more markets with the speculative starts? I know it sounds like it will still be pretty measured. And then how would you say the count -- like, other developers in the market, are you seeing them start to get more comfortable with spec, also?
Jim Connor: Well, I’ll take the last question first. Yes, there is no shortage of people doing spec development, I think what we are all very happy or pleased with is that demand continues to outpace supply by a find pretty healthy margin. To your first question when we have got I think 18 of our 21 markets above 90%, and 12 above 95% and a couple at 100%. We are in a position to start specing virtually all of our markets. We will probably be a little bit more measured than that. Particularly some of the markets like New Jersey, Pennsylvania, Southern California are the high barrier markets where it takes a little longer to entitle land and improve projects. You probably can't reload quite as fastest as you would like, and that’s a burden we bear for being a little bit more cautious than perhaps some of the local developers. But it’s worked for us very well so far. So you’ll continue to see us take a measured approach do some speculative development in a number of these different markets we mix that in with our build-to-suit, and I think the pipeline will look very-very good in the second half of the year.
James Feldman: All right, great. Thank you.
Operator: Blaine Heck. Please go ahead.
Blaine Heck: Thanks. Just a quick clarification related to the vacant Indianapolis asset you guys have under contract. So was that move to held-for-sale during this quarter, and thus had a positive effect on occupancy during 2Q? Or is that going to be a positive for occupancy in the third quarter?
Jim Connor: No Blaine, it was moved in the second quarter. So it’s moved out of our population, if you will down in the held for sale, so that did help occupancy in the second quarter. And when we sell it in the third quarter it will have no impact on occupancy since it has already been taken out.
Blaine Heck: Got it, thanks.
Operator: Eric Frankel. Please go ahead.
Eric Frankel: One more question. How tough it is to buy land today?
Jim Connor: Eric, it’s not tough, it’s expensive. And most of our markets that we’re active in land prices have exceeded previous peaks of 2007-2008. I think that’s another reason why our strategy to be very-very prudent on our land inventory is paying off for us. So I was asked so I think it was probably at NAREIT if given where we were, we were going to go out and bulk up on land and we have continually advised our business guys. Now is not the time to bulk up on that. We will buy what we need put it in-service as quickly and efficiently as possible and keep that land inventory at a very efficient level. And we will look to make some key buys somewhere down the road when land prices return to a somewhat more normalized level.
Eric Frankel: Okay. Actually, I misspoke. I have one more question. Can you just clarify the valuation of the JV breakup with Gramercy? I think on the back page of the supp, you value a building at $67 million. But I think you, in your opening commentary, made it sound like it was actually closer to -- $53 million was the portion of which that you paid. So I'm just trying to understand the valuation better.
Jim Connor: No there were two buildings Eric. We bought two buildings this quarter, I think we quoted 51 million for the value of the industrial building that we effectively bought I am air quotes here from Gramercy and then about $16 million for a medical office building that we had actually had under contract for well over a year. So there were 2 buildings in that 67 million in the supplementals.
Eric Frankel: And that $51 million -- for the 80% interest?
Jim Connor: Correct.
Eric Frankel: Okay. That's all I need to know. Okay, thank you.
Jim Connor: All right, thanks.
Operator: There are no further questions in queue. Please continue.
Jim Connor: I’d like to thank everyone for joining the call today. We look forward to reconvening during our third quarter call that is the October 27th. Thanks again.